Operator: Good morning. My name is Arnica and I will be your conference operator today. At this time, I’d like to welcome everyone to the Third Quarter 2014 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. I’ll now turn the conference over to David Kirby.
David Kirby: Thank you, operator, and good morning, everyone. Welcome to the Hudson Global Conference Call for the Third Quarter Of 2014. Our call this morning will be led by Chairman and Chief Executive Officer Manolo Marquez; and Executive Vice President and Chief Financial Officer Stephen Nolan. Please be advised that except for historical information, the statements made during the presentation constitute forward-looking statements under applicable securities laws. Such forward-looking statements involve certain risks and uncertainties that may cause actual results to differ materially from those contained in the forward-looking statements. These risks are discussed in our Form-8K filed today and our other filings made with the SEC. The company disclaims any obligation to update any forward-looking statements. During the course of this conference call, references will be made to non-GAAP term such as EBITDA. An EBITDA reconciliation is included in our earnings release and quarterly slides, both posted on our website, hudson.com. I encourage you to access our earnings materials at this time. They are posted on our website under future documents and will serve as a helpful reference guide during our speakers' remarks. With that, I’ll turn the call over to Manolo Marquez.
Manolo Marquez: Thank you, David. Thank you all for joining us on our third quarter 2014 earnings call. As you would have seen from our announcement this morning, we have completed the sale of our Legal eDiscovery business and significantly improved the performance of our continuing operations. Third quarter revenues from continuing operations were $149 million, up 7.2% from the third quarter of 2013 or 4.3% in constant currency. Gross margin from continuing operations was $56 million, an increase of 10.3% over the third quarter of 2013 and 8.3% in constant currency. Adjusted EBITDA loss from continuing operations was $2.9 million, an improvement of 31% compared with a loss of $4.1 million in the same period last year. These results reflect both the ongoing improvements made in our core lines of business and the important advancements made against our strategy. Before Stephen provides more details on our quarterly performance, let me briefly summarize our progress on three key components of our strategy specifically, one, bring more focus to the highest potential areas of our business; two, create a leaner, more efficient operating model; and three, invest selectively to grow our core business. On our first key point bring more focus to the highest potential areas of our business, after the end of the first quarter we shared with you our plans to focus on our core markets and practices and explore alternatives for other parts of the business ensuring that we maximize overall value. Today, I’m happy to announce the successful sale of our Legal eDiscovery business. The sale of this unit will allow us to continue investing in our core recruitment, RPO and talent management businesses. Our Legal eDiscovery had built a leadership position in the Americas. However, industry dynamics continue to shift rapidly towards integrated technology and staffing solutions and the project based nature of the business favors a scale and industry consolidation. We concluded the business was more valuable to a company whose primary business is in the legal sector. On Friday, we completed the sale of this business to DTI, the largest privately held provider of legal process outsourcing in the U.S. As to our continuing operations, which now excludes eDiscovery and Sweden, where we ceased direct operations in the third quarter, over the first nine months of 2014 our gross margin grew 7.3% from the equivalent period last year in constant currency and our adjusted EBITDA loss was $5.1 million, an improvement of $7.4 million or 59% from the same period last year. We will continue to work and ensure that our business has a sharper focus but that alone will not be enough to reach our profitability objectives. So on our second key point create a leaner, more efficient operating model, during the third quarter, we began to implement the changes associated with our short term engagement with AlixPartners, one of the premier firms in organizational design and operational excellence. As we announced prieviously, the annualized targeted savings on the retail business are estimated to be at least $12 million. In the third quarter, we began to streamline our support functions in the Asia Pacific region, parts of Europe and corporate. In Asia Pacific, we eliminated more than half of the administrative support positions creating a greater leverage for our business in the coming quarters. Overall, our current headcount for our support and administrative staff had been by close to 100 people or 17% down from a year ago. After completing the sale of Legal eDiscovery a more focused operating platform together with our remaining efforts to drive efficiencies through our organization will strengthen our foundation to sustain profitable growth. And finally, on our third key point invest selectively to grow our core business, as we shared with you at the beginning of the year we have complemented our leadership ranks with seasoned industry professionals and have analyzed carefully our practice and geography mix to focus our resources in those areas where we have specialized capabilities and clear opportunities to scale our business. In short, in the areas where our potential to win profitable market share was greatest. Through this process we made a substantial investment in our front office with headcount up 170 people or 16% from a year ago. Our investment in leadership and front offices staff is starting to pay off in our continuing operations. In the third quarter, our Americas gross margin increased 19% year-over-year. Our Asia Pacific gross margin increased 15% in constant currency. In Europe, progress has slowed in the third quarter amid tougher market conditions delivering just 1% gross margin growth in constant currency after an 8% year-over-year growth in both Q1 and Q2. Our global RPO growth margin grew 27% in the quarter and Talent Management was up 28% both in constant currency and as compared to the same quarter in 2013. In summary, we believe that a combination of actions in these three critical think areas focusing our business, building efficiencies into our operations and selectively investing in our core are helping us create the right platform for profitable growth. Hudson has made great strides in simplifying its structure, is better able to capitalize on growth opportunities and is becoming leaner and more nimble in its execution and approach in its core markets and businesses. Our business fundamentals are, therefore, improving but we are also aware that the macroeconomic environment has weaken again in Europe and it is somehow decelerating in China which could have ripple effect not only in those markets but on the trading partners around the world. In our continuing operations, 91% of our growth is outside the Americas leaving us more exposed to those situations than before. However, in spite of these market uncertainties we are confident that we are now better prepared to face external challenges than we have been in years. We have a stronger more focused organization, greater operating discipline and a leadership team that remains fully committed to finish 2014 on a clear path to profitable growth and sustained value creation for our stockholders. Stephen will now provide more details on our third quarter performance and expectations.
Stephen Nolan: Thanks, Manolo, and thank you all for joining us this morning. As Manolo mentioned, we have classified the results of eDiscovery and Sweden as discontinued operations in the third quarter 2014 financial statements for all periods presented. Other than net income the financial information that we will discuss today will refer to continuing operations only. For the third quarter group revenue came in at $149 million, up 4% year-over-year in constant currency. Growth in RPO, Talent Management and Perm Recruitment was offset by weakness in temp contracting. Gross margin was $55.7 million, up 8% year-over-year in constant currency led by 15% growth in Asia Pacific. Our SG&A costs were $58.5 million, 5% higher than last year driven by a 16% increase in fee earner headcount, mainly Asia Pacific, which was somewhat offset by savings in support cost and real estate. Adjusted EBITDA was a $2.9 million loss, $1.3 million better than last year. Turning to the regional and country performance, we delivered year-over-year gross margin growth in many of our business lines and geographies. In Europe, gross margin grew 1% year-over-year in constant currency with Belgium 15% which was led by Talent Management and Spain grew 31%. In the UK, gross margin in our recruitment business grew 3% led by 8% growth and Scotland despite the uncertainties caused by the independence vote. England recruitment gross margin was slightly down year-on-year with 9% growth in perm offset by lower temp contracting. France had a tough third quarter with growth margin 8% below 2013 as economic conditions weakened. Asia Pacific had a strong third quarter with year-over-year growth in revenue and gross margin of 14% and 15% respectively in constant currency. Gross margin improvement was driven by growth in RPO, perm and talent management primarily Australia and China. Australia gross margin growth 22% with strong RPO and talent management results somewhat offset by lower temp contracting. China gross margin grew 27% with strong perm performances across all markets. In the Americas gross margin grew 19% compared to last year. RPO delivered another strong performance with a 38% year-over-year increase in gross margin while the other business lines grew 3%. Looking at our global business lines, RPO gross margin increased 27% year-over-year on the strength of significant growth from existing clients and new business wins in Australia and the U.S. Talent management improved gross margin 28% year-over-year with strong performance in Australia and Belgium. Here are some additional data points for the third quarter. We incurred $0.8 million in restructuring charges as we began to implement the AlixPartners recommendations mostly severance cost in Europe and Asia Pacific. Our Q3 results included $0.1 million of stock compensation compared to $0.4 million a year ago. Our third quarter tax provision was a $0.6 million credit compared to a credit of $0.4 million a year ago. We ended the quarter with $19 million in cash and $28 million in available borrowings totaling $47 million in the liquidity. We had $8.2 million in borrowings at quarter end. Through September 30 our average borrowings year-to-date were $4.6 million. In early August we put new credit facilities in place with Lloyds in the UK and Siena in the U.S., both are excellent partners and the right match for our business in each prospective market. DSO at quarter end was 45 days which compared to 48 days last September. Capital expenditure year-to-date September was $4.3 million which included $2.1 million related to landlord funded leasehold improvement. Excluding these net outlays we expect 2014 full year capital expenditure of approximately $3 million. We finished the first nine months of 2014 with an adjusted EBITDA loss of $5 million which compared to a $12 million loss in the same period last year on a constant currency basis. This improvement was achieved by growing gross margin and reducing our support costs while investing in fee earners and absorbing the Alix and proxy costs. Looking to Q4, we anticipate some weaker trend in Europe and parts of Asia Pacific. Our revenue from continuing operations guidance is between $135 million and $145 million at prevailing exchange rate. This translates into a year-over-year change in revenue of minus 3.5 to plus 3.5 in a single digit growth in gross margin with the expected mix. We expect an adjusted EBITDA loss from continuing operations of between $1 million and $3 million which compares to a $2 million loss in Q4 2013. This includes $0.6 million of stranded cost relating to the eDiscovery sale which we intend to eliminate as soon as possible. Regionally I expect Europe to lag the guidance range while the Americas and Asia Pacific should be ahead of the range. We expect to make significant progress on our cost base in the coming quarters with the elimination of stranded cost and the completion of the actions stemming from our engagement of AlixPartners earlier in the year. The proceeds on the sale of eDiscovery will also allow us to pay down short term debt and increase our financial flexibility to invest in core practices and markets. We expect that the investments we are making should generate a meaningfully positive return as we look to 2015. Arnica, please open the line for Q&A.
Operator: (Operator Instructions). The first question comes from Jeff Silber with BMO Capital Markets.
Jeff Silber - BMO Capital Markets: Thanks so much. Now that you have the sale of the eDiscovery business behind you I was wondering if you believe this will potentially accelerate the timeframe for the company to become profitable on an EBITDA basis, and if so when you think that will happen? Thanks.
Stephen Nolan: Hi Jeff, it's Stephen, good morning. Yes, I think it will help. As you saw I think from the supplementary schedule, we were losing money in 2014 in eDiscovery. So that will help. I think the investments we would be making in fee earners will now be accelerated and the AlixPartners cost reductions will also now be facilitated. So I think we are looking at 2015 for profitability. It may not be Q1 because of some of the seasonality that we deal with in Asia-Pacific but we are on a better trend.
Jeff Silber - BMO Capital Markets: Okay. That's great to hear. In terms of restructuring are there any more charges that are coming?
Stephen Nolan: So the Alix work that we have been doing, we have $7 million approved. We spent roughly a million in the third quarter. I expect we will have $3 million to $4 million potentially in Q4 and the balance in Q1.
Jeff Silber - BMO Capital Markets: Okay, great. And I know it's always difficult to model taxes, but what kind of tax rate should we expect that leads for the fourth quarter, and what would be a good tax rate to use for next year?
Stephen Nolan:
. :
Jeff Silber - BMO Capital Markets: Can you just remind me what the statutory rates are at least by region? Just a rough number is fine.
Stephen Nolan: Its I think -- I’d say 40% is probably what we are paying in, I think it's the UK and Belgium maybe. So I may have to get back to you on that, Jeff, because I don't have them in front of me, I'm sorry.
Jeff Silber - BMO Capital Markets: Okay. That's fair enough. Thanks so much.
Operator: Your next question comes from David Beck with RBC Capital.
David Beck - RBC Capital Markets: Hi, good morning. Congratulations on the eDiscovery included impact. In terms of the AlixPartners restructuring, the $7 million spend you said will be completed in Q1, will the benefits begin accruing by the second quarter fully or when would the full benefit of the projected $12 million of savings that you suggested be into the income statement?
Stephen Nolan: Hi David, it's Stephen. Yes, we will see some benefit in Q4 probably several hundred thousand dollars and we expect as it goes, obviously we are able to trying to get it in as fast as possible, but I think it will be probably the second half before we will see that solid run rate coming in.
David Beck - RBC Capital Markets: Okay. So that would be about $3 million per quarter starting in the second half. So there is no lag from activating to getting the benefit.
Stephen Nolan: Yes, I mean most of the savings are tied to the headcount and a lot on real estates. So yes, I mean I should be fairly fast return.
David Beck - RBC Capital Markets: Okay. And in terms of just some concept of the potential opportunities for your different businesses at this point, RPO, can you -- you have provided the revenue in gross profit percentage for that business, and I recognize it's a global business with more emphasis in Asia, but just some idea of how you see that business evolving? And is that the one you've targeted to make whether you would be tuck in acquisitions to help enhance the growth rate or that one that would need to be developed more organically? And then how might you look at growing that business in the United States if we have just lost a little of our revenue there the eDiscovery piece of that had any cross sell potential benefit from that?
Manolo Marquez: Hi David, this is Manolo. So the RPO business is tracking extremely well now in the Americas and in Asia-Pacific just with organic growth. We will be always reviewing opportunities as we continue on going forward but our focus for now is on improving the core operation by organic growth including RPO. So RPO today is just under 20% of our global growth margin. It represents 50% in the Americas where we have just said it grew 38% in the Q3 and 47% year-to-date. It represents 25% of our Asia-Pacific growth margin. In Asia-Pacific, in Q3 it grew 58%, is growing 20% year-to-date. Europe is where we are lagging in growth. As I explained on the last earnings call, we have just invested in the new team there and we expect that we will catch up on growth there soon, but as I just explained we are very pleased with what we are achieving in RPO. We are offering already consistent growth into our regions. It had been the strongest and most consistent growth piece that we have had in the past three years. In the last two quarters, gross margin for RPO was the highest ever that we delivered, and existing relationships are strong, the par line continues to be growing.
David Beck - RBC Capital Markets: And then that business's present size, how do you look at its competitive advantage? What has caused that to be a successful recently and cannot be propelled without any significant external investment but just organic growth?
Manolo Marquez: I think I would relate you to the analysts’ reports, I mean I think that rather than tell you how good we think we are the best thing is to go to NelsonHall and the Everest report that do quite of a zoom in on our characteristics. I think we like to feel that we offer high touch RPO business that we are very close to our clients, that we have understand their needs, that we are not kind of just offering an off-the-shell that suits everyone, and that by approaching our client way in the industries where we have been operating in RPO we have a specialized expertise that our client's value.
David Beck - RBC Capital Markets: And is there any way to look forward in terms of a pipeline for this business in terms of where it's a request for proposal or quotes to sense that you are gaining share? I think those NelsonHall report ranks you ninth or second and I remember it was ninth in the U.S. and second in Asia in terms of capabilities but we are very well regarded by those analysts yet your market position seems small in dollars.
Manolo Marquez: Well it’s small in dollars compared with some of the big providers that are more of volume chasers. So that's why I'm saying I mean we are more of a high touch provider than a volume provider, but highly profitable in those -- in the matrix from Everest and the position from NelsonHall that the position that they are granting us. And the market is big and it's billons of dollars and still growing by 15% on an annual rate. So you don't need to kind of like try to cope everything volume and quality, and we feel that chasing quality is our best option there. And our pipeline, yes, it's improving, it's increasing. I think that as we do better we create more of a brand in those regions where we grow, success attracts success in outsourcing businesses. So I do feel that this would continue but we are not giving any specific guidance of how much our pipeline is growing.
David Beck - RBC Capital Markets: Okay. I will get back in queue. Thanks.
Manolo Marquez: Thank you.
Operator: Your next question comes from Mark Marcon with Robert W. Baird.
Mark Marcon - Robert W. Baird: And thanks for taking my question. With regards to the RPO business, how much of it is in the Americas relative to the other regions, what's the geographic split?
Stephen Nolan: About 15% of revenue Mark is in the U.S.
Mark Marcon - Robert W. Baird: Is in the U.S. And then, the rest is?
Stephen Nolan: Then, we have about 70% in Asia-Pac and 50% in Europe.
Mark Marcon - Robert W. Baird: Okay. And are all three regions growing?
Stephen Nolan: No. As we said, Europe is the one lagging.
Mark Marcon - Robert W. Baird: Even in RPO?
Stephen Nolan: Yes.
Stephen Nolan: Yes.
Manolo Marquez: Yes. We have some projects that were faced out last year. We have not been able to replace them as of today.
Mark Marcon - Robert W. Baird: Okay. Is -- in terms of the European RPO, is that in the UK or is that on the continent?
Stephen Nolan: It's both. The -- our business on the continent is actually growing quite nicely and UK is down.
Mark Marcon - Robert W. Baird: Okay. All right. And then, with regards to the sale of eDiscovery, it's a sale for the assets -- what were the assets that went along with this sale?
Stephen Nolan: It was basically working capital.
Mark Marcon - Robert W. Baird: And how much working capital went with it?
Stephen Nolan: About $10 million.
Mark Marcon - Robert W. Baird: So are the net proceeds including -- if we factor in the receivables, is it more like $13 million?
Stephen Nolan: If we factor on working capital, yes.
Mark Marcon - Robert W. Baird: Okay. All right. And with regards to looking towards the next quarter, can you remind us of the seasonality with regards to Asia-Pac in terms of how much should that come in, and then what would be the rebound that we -- which -- we should expect in Q2?
Stephen Nolan: Well, yes, I mean that it's -- it's their summer time. I’ll actually be there in two weeks, so I'm looking forward to that, to warm weather.
Mark Marcon - Robert W. Baird: Nice.
Stephen Nolan: Yes, I know, I’ll send you a postcard. But the -- so -- but we expect them to actually grow, which isn't necessarily the normal seasonal trend there. But I think Asia-Pac will grow in Q4. And then, I think the others --
Mark Marcon - Robert W. Baird: I was referring to Q1.
Stephen Nolan: Oh, I'm sorry. Q -- I am sorry, Mark. Of 2015?
Mark Marcon - Robert W. Baird: Right.
Stephen Nolan: Yes. So -- I mean it's normally down by several million dollars from -- I mean last year was with a very soft Q4 in Asia-Pac. So we expect it’ll drop down by probably about $3 million from Q4 this year.
Mark Marcon - Robert W. Baird: Okay. So would you expect that you would hit profitability in Q2 overall?
Stephen Nolan: Looking for guidance in Q2 2015
Mark Marcon - Robert W. Baird: Just looking for the first quarter profitability?
Stephen Nolan: Yes, no, no. I mean, I -- yes, I think we are looking at Q2 at the moment. Obviously, the faster we can get the fee earners productive and the ask savings in and I mean all that will help, Mark, and I think that’s all the -- that's all the activities that work that we're focused on.
Mark Marcon - Robert W. Baird: Okay. Great. Thank you.
Stephen Nolan: Thanks, Mark.
Operator: Your next question comes from Bill Nasgovitz from Heartland Funds.
Bill Nasgovitz - Heartland Funds: Congratulations on the sale. I hope you are pleased with the number.
Manolo Marquez: Yes, we are.
Bill Nasgovitz - Heartland Funds: Well, terrific. And it's nice to see year-over-year some top-line growth. Just a question in terms of how many different continents is Hudson currently operating in?
Manolo Marquez: Three. Well, I guess -- (inaudible)
Stephen Nolan: I think Australia I thought belonged to Asia, so --
Manolo Marquez: Well I know, now three regions but it is four continents.
Bill Nasgovitz - Heartland Funds: Yes. Four continents. Well, for company our size just on the theme of increased focus, is the board management considering perhaps slimming that down a bit in the future?
Manolo Marquez: I think we always consider as we've said to ensure that we are present in the areas where we can achieve profitable growth. I think that, Bill, the issue that you have and you try to focus too much is that then you lose the scale and it's very difficult to compete without scale. So that's kind of like the two -- balance the two equations in your balancing act that you have to sort out focus and scale, and is not a simple equation. But we had definitely -- we will only stay in the areas that will bring profitable growth for Hudson.
Bill Nasgovitz - Heartland Funds: Okay. Well, that's good to hear. But for a company our size, you would seem to make a sense from a strategic review.
Manolo Marquez: Yes.
Bill Nasgovitz - Heartland Funds: But the last --
Manolo Marquez: But yes, that’s in fact what you’re saying a company our size, but the moment you size these start dropping off more businesses then the size goes down too. And then, that's the issue we'll be fighting for.
Bill Nasgovitz - Heartland Funds: Okay. And then, lastly, with cash the proceeds -- I might have missed this. What might be the uses of our cash balance going forward?
Manolo Marquez: So clearly that bolsters our cash position, which is good to have, but the only two things that we have expressed that we will be doing with that cash at this moment is continue to invest on our organic growth in core areas and execute and accelerate their strategic initiatives that we have already mentioned.
Bill Nasgovitz - Heartland Funds: Okay. Thank you.
Operator: (Operator Instructions). At this time, there are no further questions. David Kirby Thank you, operator. And thank you everyone for joining Hudson Global’s third quarter conference call. Our call today has been recorded and will be available on the Investors section of our website hudson.com later today. Thank you. And have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.